Operator: Hello and welcome to the webcast entitled WWE Second Quarter Earnings. We have just a few announcements before we begin. [Operator Instructions] I will now turn the call over to Michael Weitz, SVP, Financial Planning and Investor Relations. Please go ahead, Michael.
Michael Weitz: Thank you and good morning everyone. Welcome to WWE’s second quarter 2017 earnings conference call. Leading today’s discussion are Vince McMahon, our Chairman and CEO; George Barrios, our Chief Strategy and Financial Officer; and Michelle Wilson, our Chief Revenue and Marketing Officer. We issued our earnings release earlier this morning and have posted the release, our earnings presentation and other supporting materials on our website, corporate.wwe.com/investors. Today’s discussion will include forward-looking statements. These forward-looking statements reflect our current views, are based on various assumptions and are subject to risks and uncertainties disclosed in our SEC filings. Actual results may differ materially and undue reliance should not be placed on them. Additionally, the matters we will be discussing today may include non-GAAP financial measures. Reconciliation of non-GAAP to GAAP information is set forth in our earnings release and presentation, which are available on our website. Finally, as a reminder, today’s conference call is being recorded and the replay will be available on our website later today. At this time, it’s my privilege to turn the call over to Vince.
Vince McMahon: Good morning, everyone. We are pleased with the execution of our strategy to optimize our long-term value of our content. As you know, revenue increased 8% to a quarterly record of $215 million. And we delivered our earnings results pretty much essentially in line with our guidance. Live event revenue increased to quarterly record of $53 million, which I think is notable. We are reaching $85 million year-to-date with our global attendance up about 100,000. The Network segment reached a quarterly record of $55 million as our WWE network paid subscribers increased 8%. Similar interesting things we have got on as well is – there is something called the Mae Young Classic named after one of our more extraordinary female performers of the past. It’s one of things that Paul Levesque is putting together for us as he did the [indiscernible] and of course all the young individuals who are scheduled to one-day compete for us down at the performance center. The Mae Young Classic is really an opportunity to bring up young female performers, which is very – is vital actually to our overall product, many of the quarter hours you see in television reflect our women superstars. So, this is an opportunity, obviously, to grow that base, which we haven’t done all that well in the past. Overall, one of the things that I look at with one of my barometers is the overall interest in the product. And for the first 6 months of the year, our digital video views reached 9.1 billion, which is pretty much extraordinary. It’s up 18%. Our social media followers continue – certainly surpassed the 800 million, which again I think is a tremendous indication in the overall interest in our product. That’s always been one of my big barometers. Global sponsorship looked pretty good. It’s revenue grew about 25%. It’s been more blue-chip advertisers have joined us, KFC, Nestlé, AT&T and some gaming partners as well. We have selected Lagardère in terms of our best-in-class marketing agency to help us develop our global sponsorship business. Other notable things going on, we have a live event in Shenzhen and over in China on September 17, which is going well and just part of our strategy in China, which looks good to-date. And we localized some of our weekly television shows, which is working out well for us in India and the Middle East. We will probably continue to do more of that going forward in other markets. I speak of other markets, we completed a multi-year agreement to televise Raw and SmackDown on SuperSport, which is definitely the way to go, that’s Africa’s premier sports broadcaster. Those are some of the things that we have got going on among others.
George Barrios: Thanks, Vince. There are several key topics, which Michelle and I would like to review today. These include our discussion of our financial performance, the progress of key strategic initiatives and our business outlook. For the second quarter, we generated an 8% increase in revenue to a record $215 million, and our adjusted OIBDA of $18.1 million was essentially in line with our guidance of $13 million to $17 million. Our revenue and earnings growth reflected the increased monetization of content across our three core platforms, pay-television, direct-to-consumer, and social and digital. Supporting the successful execution of our strategy, our key operating brand metric continued to grow during the quarter. WWE Network averaged over 1.63 million paid subscribers over the quarter, in line with guidance and represented an 8% increase from the second quarter last year. In the quarter, WrestleMania reached a record 1.95 million global households on WWE Network alone, yielding more than 5 million interactions on Facebook and Twitter, making it the most watched and most social WrestleMania in our history. Through the first 6 months of the year, consumption of WWE content increased 18% to 9.1 billion video views across YouTube, Facebook, wwe.com and our social media followers increased 19%, now exceed 800 million. These outcomes continue to demonstrate the ongoing strength of the brand and our potential to capitalize on the strength to drive continued growth. Referencing our presentation, I would like to highlight the performance of our media division, including our network and television segments, which were the primary drivers of adjusted OIBDA growth during the quarter. As shown on Page 6, network segment OIBDA increased $8.7 million, primarily due to the growth in network subscription revenue and its anticipated lower programming expenses. Network subscription revenue increased $3.2 million based on the 8% increase in average paid subscribers. Program expenses declined approximately $6 million reflecting the timing of the original programming. As we have said before, we continue to expect that the network’s programming expense will be essentially flat to 2016. OIBDA from the licensing and television content increased $4.6 million, reflecting higher rights fees in our key distribution agreements. Partially offsetting these increases was the performance of our Live Events segment. As shown on Page 7, OIBDA from our Live Events declined $1.8 million, primarily due to an increase in event production and advertising costs. Increased revenue from the staging of 11 additional events was mostly offset by the change in venue for WrestleMania. As anticipated, lower attendance capacity at this year’s site resulted in lower attendance, ticket and merchandise sales. In terms of WWE’s overall performance, changes in other business segments were largely offsetting and as such didn’t have a material impact on consolidated results. Page 9 of our presentation shows selected elements of the capital structure. As of June 30, 2017, we held approximately $260 million in cash and short-term investments and had approximately $100 million in debt capacity under the company’s revolving credit facility. We believe this capital structure enhances our ability to execute our long-term growth strategy. Year-to-date free cash flow increased approximately $14 million, favorable changes in our working capital requirements and capital expenditures will offset lower operating performance. I would like to turn the call over to Michelle who will provide some additional perspective on some of our operating achievements.
Michelle Wilson: Great. Thanks, George. Our second quarter reflected important progress on our efforts to optimize the value of our content. Progress on the subjective is evidenced by our year-over-year growth of WWE Network and the increased monetization of our content across all our ad-supported platforms with blue-chip partners. During the quarter, we developed compelling new content for our network, pay television as well as visual and social platforms. For WWE Network, we produced more than 75 hours of original content, including our popular weekly series 205 Live. Recognizing the appeal of live, in-ring content, we produced a UK championship special that features local talent from our January tournament. And lastly, we developed our very first action packed women’s tournament, The Mae Young Classic, which will premiere on the network in August and will culminate with the live finale this September. To increase our engagement with our global audience, as Vince mentioned, we launched localized weekly TV shows for India and the Middle East. WWE Sunday Dhamaal produced in Hindi with Sony Pictures networks and WWE Wal3ooha produced in Arabic with OSN. Supporting this demand for localized content, we also held talent tryouts in Dubai that drew over 40 male and female participants from the Middle East and India. On the digital and social platforms, our newest YouTube channel, the Bella Twins, exceeded 750,000 subscribers, which is up more than 50% from the last quarter. And after producing our first Snapchat show during WrestleMania, which attracted more than 5 million unique views, we have developed plans to co-produce a Snapchat series in partnership with NBCU that will start later this year. Notably, the power of our brands to reach a broad global audience on multiple platforms has attracted an increasing level of new sponsors. We have new deals with blue-chip companies such as KFC, Nestlé and AT&T and with gaming partners such as Psyonix, Square Enix and Activision. Those partners contributed to a 25% increase in our global sponsorship revenue in the first half of the year. As Vince also mentioned, we recently announced the selection of Lagardère Sports, which is a best-in-class sports marketing agency to further develop our WWE sponsorship business outside of the U.S. As I indicated last quarter, the development of new content and its increasing value to advertisers represent a critical strategic initiative for WWE. Importantly, our operating achievements also include continuing innovation across our other lines of business. For example, we have recently completed agreements to develop new mobile games with Glu Mobile, which is the maker of the successful Racing Rivals and Kim Kardashian Hollywood and also with SEGA. SEGA’s WWE Tap Mania game was just launched last Thursday. And within the past week the game has been featured on the iTune’s App Store and Google Play in 44 countries. And so far over 1 billion matches have been played on the mobile game thus far. All of this activity clearly demonstrates how we are developing unique content and diverse products that capitalize on our brand strength to drive long-term growth. I will turn the call back over to George to discuss our growth expectations.
George Barrios: Looking back over the quarter, our financial and operating results continued to reflect driving innovation and transforming our business. For the third quarter, we project average paid subscribers to WWE Network of 1.54 million, plus or minus 2%. We also estimate third quarter 2017 adjusted OIBDA of approximately $31 million to $35 million. This range represents an expected year-over-year increase, primarily due to the contractual escalation of our television rights fees and continued growth of WWE Network subscribers For the full year 2017, we continue to target record adjusted OIBDA of $100 million, given that we generated adjusted OIBDA of $36.7 million in the first half of 2017 and projected adjusted OIBDA of $31 million to $35 million in the third quarter. Reaching our full year target implies a range of fourth quarter results of at least $28 million to $32 million. Our third quarter and fourth quarter projections represents significant year-over-year adjusted OIBDA growth. It’s based on sustained revenue growth and more favorable year-over-year comparisons in our fixed cost base. Over the remainder of the year, we will continue to remain focused on creating new content across all platforms, strengthening our engagement with the broadening audience. As we continue our digital and direct-to-consumer transformation, we expect to achieve record revenue, record adjusted OIBDA and record subscriber levels. That concludes this portion of the call and I will now turn it back to Michael.
Michael Weitz: Thank you, George. Michelle, we are ready now. Please open the lines for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Dan Moore of CJS Securities. Please go ahead.
Dan Moore: Good morning. Thanks for taking the questions.
Vince McMahon: Hi Dan.
Dan Moore: Taking a step back over the last couple of years clearly ramps your investment spend materially and paying dividends in both the network and international, at this stage, are there any projects where you may or may not be seeing the returns you had hoped, I guess the question is, is there pockets of opportunity to either reduce cost or shift cost over to other areas or growth initiatives as we look out to 2018 and beyond? And I have one quick follow-up.
George Barrios: Yes. Dan, so we are always looking at the return. You got to remember lot of these investments. We expect the returns to come over a longer period of time. But we look at what’s working and if it’s working, we go a little bit deeper. And if it’s not working, we shift it. But we certainly aren’t looking to take costs out, as we sit here, we probably have more areas to invest in than not. So really the tension we are managing is let’s keep driving growth, let’s keep reinvesting to drive even greater future growth, but let’s deliver growth to OIBDA as well. So that’s the tension we are managing. But we are not at a loss for opportunities to invest.
Dan Moore: Very helpful. The Q3 guide, just shifting gears, it implies a modest sequential tick down in average paid subs, probably as expected maybe a bit of acceleration in net sub churn, any reason that might be the case, timing of more key events or is that generally in line with your expectations?
George Barrios: Yes. It’s generally in line. We don’t get too caught off in one quarter. The direct-to-consumer transformation, which the tip of the spear is the network, but there is other elements of it, our shop business, for example. We think the long tail strategic play and so we don’t get really too excited one way or the other with one quarter.
Dan Moore: Got it. And lastly, you are clearly seeing an up-tick in sponsorship revenue, maybe just talk globally about the increased comfort levels from more traditional blue-chip customer, blue-chip corporations in tying their brand to the WWE brand?
George Barrios: Yes. So first as you know, we don’t give – we don’t report sponsorship, the secular advertising revenues. It’s not a public number, but as Michelle can definitely give you some color on the opportunity.
Michelle Wilson: So obviously, I will talk first domestically and then kind of the global opportunity. So domestically we, as most of you know we have been hard at work around educating the marketplace if you will and key decision-makers around the WWE, not only the scale and the reach of our brand, which obviously is clear to indicate that to partners, but also about the brand itself and the family friendly nature of our product. Really the marketplace was not as educated about that as we had hoped. So we have been working hard at that and we have seen, obviously a lot of blue-chip partners now understand our brand. And if you look at across television, in general, prime time television, most of that product is kind of TV 14 and even TV MA. We remain one of the few opportunities that is TV PG. So that has resonated really well, particularly as brand safety has become a conversation in the marketplace. So really great success for us and we are really proud of the roster of advertisers and sponsors that we are bringing onboard. So we feel very good about that and we will continue to push on that front. Separate and apart internationally, we have talked quite extensively about the amount of video content that’s consumed outside of the U.S. for WWE and we see that as an opportunity as we have really not been able to secure as many sponsors globally as we would like and feel really good about bringing Lagardère onboard. They are very well known internationally for the ability to bring opportunities to the table. So we are feeling good about going after the ability to monetize outside of the U.S. on that front as well.
Dan Moore: Great, very helpful color and looking forward to checking out The Mae Young tournament in the next couple of months. I appreciate it.
Operator: Thank you. Our next question comes from Evan Wingren of KeyBanc Capital Markets. Please go ahead.
Evan Wingren: Thanks. Can you just give us maybe some anecdotal updates on how the localization efforts are going internationally and how your fans are responding to those?
George Barrios: Anecdotally, I mean Sunday Dhamaal, which is our show with our partner in India, Sony, we had a version with our previous partner, as you probably know, Zee TV sold Ten Sports to Sony. But on a kind of hourly basis, it’s our most watched shows. It’s a one hour show in both English and Hindi at different times, so it’s terrific. And Vince mentioned that we are – our plans are to do more of those. We have one in the Middle East. We are working on a different one with another partner. So, we just think that these really localized versions of the shows helps drive to the core shows and just helps broaden the audience. So, it’s been a real big win for us.
Evan Wingren: Yes. And then I guess just more broadly, average paid subs, the growth of them have generally been decelerating throughout the year. What levers, I guess, do you think that you guys still have to pull to reaccelerate growth?
George Barrios: Yes. I mean, I think, for us it’s always going to be the same levers. It’s the content both new content that we are creating as well as the excitement around the core storyline in Raw and SmackDown that then drives to our pay-per-view special. So, that’s always going to be big. So we are going to keep investing in the core features of the products and make it more fun to use and easier to use. And then third we get smarter about communicating to our subscribers’ current, inactive as well as new potential subscribers. So, we’ll keep working on that. Those are the main levers. We have got a lot of ideas. But as I mentioned before, I think to Dan’s question, we don’t really worry about one quarter’s number. It’s really more about driving consistent growth over the long-term and we think that the entire direct-to-consumer opportunity, which includes more than just video, because we are a multi-product and service business and we think direct-to-consumer over the next 10 years, is a real big opportunity. And we are excited about that.
Evan Wingren: Thanks.
Operator: Thank you. The next question comes from Brandon Ross of BTIG. Please go ahead.
Brandon Ross: Hi, thanks for taking the questions. Couple of questions. The way we see it over the next few years, the larger rights renewals for Raw and SmackDown could have the most material impact on your growth and the video distribution landscape is changing pretty rapidly. Do you see the possibility of moving rights off of television on to a digital platform, such as a Facebook whether exclusively or nonexclusively, especially since you guys do so well on digital and social? And then second question on the network, as you take a step back over the next few years, what do you expect to be the biggest drivers of revenue growth? Is there a possibility of raising prices, segmenting or do you just think its pure subscriber growth? Any color there would be great? Thanks.
George Barrios: Yes. On the first part, I will change a little bit of the premise of your question, where you started, you said the rights renewal. I would agree that generally our monetization of our video content is the biggest opportunity for us to grow revenue. And when you take a look at our TV segment, what you are really talking about is the monetization of our most important content, which is Raw and SmackDown. And today, that’s licensed – primarily licensed around the world and it’s our biggest revenue stream and it’s our most profitable revenue stream. And so to answer your question, do we think Raw and SmackDown are a big opportunity? We do, the monetization. On the platform question, I think you look at it two ways. As a content IP owner, when we evaluate platforms, we think about several things. Are our fans on those platforms? Are our fans willing to consume long-form content on those platforms? Is the monetization on those platforms something that we think is appropriate given the value of the content? So, that’s how we think about any platform, whether it’s pay TV, our owned and operated or third-party digital platform. Obviously, Vince has said it many times, 5, 6, probably 7 years ago, we thought it was really important for all the reasons I just mentioned to make sure we staked out both the social digital landscape position as well as direct-to-consumer and we have done that. So now we have options. Do I think a digital player will become more realistic to kind of step up into the level of right fee that we have seen from traditional players? I think, eventually, couldn’t tell you if that’s tomorrow or if it’s 5 years from now, but eventually and certainly over the last 2 years we have seen kind of a steady progression towards kind of what you are describing. But from our end and the reason we have invested so much and having a position on these platforms is to take advantage of that eventuality. Yes. So, it’s a longwinded way of saying yes, could we see that happening? Absolutely. On the second one, on the network, you’ve heard me answer kind of how we view the network in direct-to-consumer generally. If you said specifically on the video side, we think if we are able to design the product in a really fresh interesting way for our fans, we think there is an opportunity to both grow the engagement and potentially grow the economics by segmenting the product and we will continue to work on that. And if it’s not that, then it will just be we believe time for continuing to add subscribers over time and retain a portion of them and grow the business, so either one of those ways.
Michelle Wilson: And just something to add on that, Brandon, is we have talked a little bit about the weekly shows we are doing localized. And I think one of the other opportunities internationally is to continue to look at localization as a growth opportunity. So, to George’s point between content kind of features of the platform and leveraging the analytics to kind of segment the market, which we think all three of those things will drive overall revenue growth. I do think globalization is something that we are looking at, whether that’s currency or content and personalization. You have heard a lot about that, but we think there is an opportunity to develop features that ultimately drive engagement if you know a subscriber is a fan of a certain superstar, how do we deliver personalized content to them and both of those things strategically will also contribute to the long-term growth. So again, those are buzzwords, but we take them seriously as it relates to localization and personalization towards long-term growth.
Brandon Ross: Great. Thanks very much.
Operator: Thank you. The next question comes from Eric Handler, MKM Partners. Please go ahead.
Eric Handler: Yes, thanks for taking my question. Few little things. First, can you give an update where you stand right now with the WWE UK brand? Are we any closer to maybe a weekly TV program of sorts or what type of maybe a touring event for the brand as well? And then secondly with Lagardère and your sponsorship deal there, I am wondering what, maybe you could sort of frame how big of an opportunity Lagardère thinks there is and obviously, what made you sign with them based on that? So, maybe you could sort of frame how big sponsorship could eventually be internationally ex-China? And then, I will stop there. That’s good enough.
George Barrios: Yes. Look on the first one, Eric, the UK brand. I mean, it gets back to this localization of content. I mean, we have said all along, I guess to Dan’s first question, do you have places to invest and we do. And where are they? They are creating new content. They are creating that content globally, the localization element for international business. And then it’s the third area that Michelle touched on, which is data. Data and analytics, I think, 5 or 6 years from now, the way today we speak about it, Michelle said a lot of buzzwords – it kind of looks like social 6 or 7 years ago and now it is a massive driver for us of engagement and more and more of economics. So, for the UK brand, specifically, yes, we think there is a real opportunity there. It’s a little bit different flavor than something like Sunday Dhamaal and we will take it as it goes. We are pretty good at trying things, learning from them and then kind of building them out organically, but we are excited, we have a big fan base in the UK. They have shown an appetite for local talent. So, as Vince mentioned, we are going to continue to play around with that and build on it.
Michelle Wilson: Okay. On the international sponsorship, obviously, not going to get into since we don’t report specifically the sponsorship segment, not going to get into specifics around the opportunity, what I will say, again, as I mentioned earlier, that looking at the amount of content, our video content in particular that gets consumed outside of the U.S. and knowing that, that number is sizeable and looking at the opportunities that we have, Lagardère has great experience outside of the U.S. And with blue-chip partners that are already doing business with us in the U.S., so that’s where we really saw the fit is. They are already having conversations with those companies in those respective markets. So it was a natural fit to us and a great – their understanding and the research that they did on our brand, they certainly see the opportunity as well. So, we feel good about that and again, we won’t get into specifics, but the roster we are looking at are essentially the advertisers and sponsors that we here have domestically that we know are global. That will be the low hanging fruit, if you will and Lagardère has got great relationships there.
Eric Handler: Thank you very much.
Operator: Thank you. Our next question comes from Eric Katz, Wells Fargo. Please go ahead.
Eric Katz: Good morning. Thanks. So looking at the network margin, it’s significantly better than last year. And I understand there is difference in programming cost due to timing, but it sounds like you guys added a lot this year with 75 hours. Can you give us a little more color on that dynamic and does the timing comment mean there is a shift of more content in the Q3, is there more content this year, but it’s cheaper, I guess, any help in understanding that would be helpful?
George Barrios: Yes, Eric, we produced about roughly 300 hours of original content for the network, including our pay-per-view special, , NXT, Main Event or some of the more scripted shows that we do. And that number has been relatively stable since we have launched. The expenses frankly on an annual basis are also relatively stable. Having said that, some hours are more expensive to produce than others and so how we set up the schedule for the year kind of will shift the dollars from quarter-to-quarter. But from a full year basis, as I mentioned in the prepared remarks, in essence flat, it’s been around the same amount since we launched.
Eric Katz: Okay. And then just wanted to come back to the turnaround WrestleMania, that just seems to be particularly important because that’s where you attract the most eyeballs, I was wondering if you could, I guess talk to what you saw this year versus prior years, how are the stickiness of some of the free signups going into WrestleMania this year?
George Barrios: We don’t get into that, obviously we would put on a lot of public data on both gross adds and net adds as well as by extension churn. But we don’t get into this different cohort. What I won’t say is we still think in terms of getting the upper part of the funnel filled that having that promotional period is still a great tool for us. So we are going to continue to do that.
Eric Katz: Okay. Maybe just a broader question, there has been quite a bit of disruption in the traditional ecosystem and we are seeing some rumors of more consolidation on the content side in the last week really, I am just wondering if your phone has been ringing a bit more and are you entertaining those calls more this time?
George Barrios: I wouldn’t say more or less, I will quote my esteem boss who said a couple of quarters ago we are open for business and we have always been that way. And we certainly talk, we are aware of what’s going on. We have a pretty strong perspective on the value of the brand. We think there is an opportunity for us to do an even better job monetizing that brand over the next few years. But we are always open to listening to creative ideas.
Eric Katz: Okay, thank you.
Operator: Thank you. The next question comes from Laura Martin of Needham & Company. Please go ahead.
Laura Martin: Can you guys hear me, okay.
Vince McMahon: We can. Hi.
Laura Martin: I am really fascinated by the news I would like talk about these new streams and the business models around them, s we have the YouTube channel Bella Twins with 750 million subs, up 50% year-over-year, we have Snap where you are co-producing something with CNBC, so let’s start with those two, is the business model there just rev share on the advertising or is like Snap and Facebook, they are like paying people for content, are you getting paid for content, could you just talk through these new business models that you guys are experimenting with on the digital platforms?
George Barrios: Yes. I mean if you look over the last 5 years or so on the digital platforms, we have done – primarily we have done rev shares, we have done deals where we received license fees. I don’t want to get into specific deal terms on the ones you mentioned. But I would think predominantly for the type of content that you specifically referenced, it tends to be more towards the rev share. I think the license fees and so on, like I said we have done those previously, but it kind of dovetails into Brandon’s comment of are these platforms, will they ever be ready to pay the types of license fees that the Pay TV ecosystem has. The trend line seems to indicate eventually yes, but we will see how that develops over time.
Michelle Wilson: And just to add to that Laura, as George mentioned, the models are predominantly rev share. What I will tell you that we are seeing Laura, having great success in the marketplace is that advertisers are not looking just for 30-second TV ads, they are looking for cross platform opportunities, so while that piece will be a rev share model, what we are finding is it’s bringing other business to the table for us across our other platforms. So we don’t think about just that rev share in isolation. We look at it as part of a broader partnership with the companies like KFC and Cricket and these gaming companies that are looking for cross-platforms. So again depending on what aspects they are working with on us, that particular model is rev share, but the others are more a direct revenue to WWE, so again it’s a piece of the overall pie.
Laura Martin: That’s super fascinating. And then let’s stay with this notion of you use this word sponsorship rather than the word advertising, is the reason you are using that word sponsorship, because these are like heavily negotiated, heavily hands-on deals like you say a cross-platform, is that why you are using that word, specifically?
Michelle Wilson: I think the term could be interchangeable. I mean we debated how we want to label it. I will say they are companies that want to have exposure and access to the views that we can deliver across the platform. So I don’t know that there is any magic to the word sponsorship. They are essentially getting access to the WWE fan base.
Laura Martin: Okay. And you are working that that goes through NBCU, it includes the TV platform I guess is what you are saying?
Michelle Wilson: We do both. Some are co-selling, some are solely WWE, so it’s both.
Laura Martin: And then on the games front, can you also talk about the rev share there, is that a licensing deal or is there some kind of rev share with the units hold or with the mobile end game purchases?
George Barrios: Yes. I mean it’s a traditional licensing deal. It’s fundamentally not – I mean the terms are different, but it’s not dissimilar than the console deals we do.
Michelle Wilson: On the mobile games, but when they come onboard as the partner or sponsor, when we referenced a Square Enix or Psyonix, that’s a more traditional advertising sponsorship relationship. What George is mentioning is when we are launching a game like say TapMania, that’s a licensing agreement.
Laura Martin: The new revenue streams are really interesting and I think your point about a cross platform, there are a few companies that can actually sell cross platforms, so it’s a huge competitive advantage for you guys, very interesting. Thanks guys. It’s helpful.
Operator: Thank you. Our next question comes from Jason Bazinet of Citi. Please go ahead.
Jason Bazinet: Thanks so much. Looking at that 200 – I think it’s around $60 million [ph] of cash and investments that you have post the convert last year, should we sort of anticipate a material step-up in the uses of cash for more TV production as you localize, is that sort of – because it seems like it’s about $100 million above, what you guys would normally carry, so is that the right way to model it or is there some other investment that you guys anticipate outside of the local content creation?
George Barrios: Yes. Let me – couple of points on that, first as we announced, when we did the convert, the reason was general corporate purposes as well as we feel having a visibly strong balance sheet that shows the flexibility that we have helps us when we are negotiating and most of the times with companies much larger than ourselves. So we like having that in it. It does get into the renewal discussions that Brandon brought up. So that’s number one. Number two is as far as uses of cash, as we have mentioned last year, we bought a new facility in the third quarter of last year and we have talked about that we would ramp up CapEx to build that facility on, it’s a production facility here in Stanford, Connecticut. So we expect to start seeing that in the second half of this year and it will be a 12-month to 18-month project here into the future, so we will continue to build out that capacity. So it is related to your point on localization, but it’s a little bit broader than that. It’s really expanding our overall production capacity.
Jason Bazinet: So if I add the step-up in production plus the facility plus the flexibility, those are the three main drivers?
George Barrios: Pretty much.
Jason Bazinet: Okay. Thank you.
Operator: Thank you. The next question comes from Mike Hickey with Benchmark Company. Please go ahead.
Mike Hickey: Hey guys. Congrats on the quarter. Just a couple of little questions for me, George you may have covered this already, but maybe not directly, the churn in the quarter for your network subs seem to be pretty elevated compared to last couple of years, if I did the math right, is that true and any thoughts there?
George Barrios: Yes. I mean as we have seen since launch and although it seems like we have been doing this for eternity, it’s only 3 years, I hate to draw too many conclusions, but the Q2 churn as a percentage tends to be higher, because you are dealing with a significant influx of new subscribers because of WrestleMania, so that’s been the math.
Mike Hickey: Okay. And then I guess when you think about the subs for ‘18, I mean obviously, you have some data here historically, should we sort of be thinking sort of mid to low single-digit tie it back to good growth across your domestic international base?
George Barrios: We are not ready to talk about ‘18 guidance in any context. But I think you saw what we are guiding to Q3. But we will talk about ‘18 in the future, not today.
Mike Hickey: Okay, fair enough. You may have a short answer to my next question then, I think you said on cost control it doesn’t sound like you are going to be pulling back on the investment side sort of balance between revenue growth, cost control, how should we sort of think about the EBITDA growth, was that primarily a function of revenue growth then George or maybe you won’t answer that, but thoughts would be helpful?
George Barrios: Look I think it is consistent with we have been saying for about 18 months now as the network kind of got to a level we felt comfortable with is that if we are successful, we believe we will be able to drive top line growth. We have high operating leverage, which means we have a high fixed cost base, but we have high operating leverage, which is great as you are growing revenue. That will give us hopefully the opportunity to reinvest some of that unit economics back into new opportunities as well as drive year-over-year OIBDA growth. So, the answer to your question is yes, we expect revenues to grow. We have good unit economics and that allows us to do two things hopefully. One, invest in the business for the future as well as drive the bottom line. So that’s what we are trying to navigate.
Mike Hickey: Alright, guys. Thanks. Good luck.
George Barrios: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Curry Baker of Guggenheim Securities. Please go ahead.
Curry Baker: Hey, guys. Thanks for the question. You have recently made a lot of progress it seems in China with a multiyear streaming agreement for Raw and SmackDown and Mandarin signing more Chinese talent, also distributing WrestleMania Live for the first time. However, it seems you are only doing about one live show per year there. I think, last year in Shanghai and you have announced one in September in Shenzhen. Can you provide any update regarding the appetite for WWE content you are seeing in China as well as the demand potentially ramp up the number of live events there each year kind of beyond the 1ish you are running at right now? Thanks.
George Barrios: Yes. We are not going to get into individual countries. And I have always said China is in early days for us. I always contrast it to India, which obviously is not only a great country in terms of economics for us, but in terms of consumption. We have been there over 20 years. China, we are right around year 9 or 10. So it’s at a different place. Having said that, it’s moved from kind of an early developing market to us – for us to one that – you referenced the PPTV agreement was kind of a little bit of a step change for us in terms of both distribution and economics. So we are really excited there. We are putting more resources on the ground there. We think there is a long-term play for us in China. Your question about the event is something operationally we are always struggling with Curry. There is only – we are working we have a special project to increase the number of days in the year, but it hasn’t gotten off the ground. We are still at 365. So, we always have to make tradeoffs about where we are playing and it’s the blessing and the curse. We are pretty popular on every country on earth. So, we have to make choices. And so that’s just a reflection of some of the choices.
Curry Baker: Okay, thanks.
Operator: Thank you. There are no further questions at this time. Please continue.
Michael Weitz: Thank you, everyone. We appreciate you listening to the call today. If you have any questions, please don’t hesitate to reach out to us.
Operator: Ladies and gentlemen, this does conclude the conference call for today. You may now disconnect your line and have a great day.